Operator: Good day everyone and welcome to today's The Trade Desk Third Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask questions during the question-and-answer session. [Operator Instructions] It is now my pleasure to turn the conference over to Vice President of Investor Relations, Chris Toth. Please go ahead.
Chris Toth: Thank you, operator. Hello and good afternoon to everyone. Welcome to The Trade Desk third quarter 2020 earnings conference call. On the call today are our Founder and CEO, Jeff Green; and Chief Financial Officer, Blake Grayson. A copy of our earnings press release can be found on our website at thetradedesk.com in the Investor Relations section. Before we begin, I would like to remind you that, except for historical information, some of the discussion and our responses in Q&A may contain forward-looking statements, which are dependent upon certain risks and uncertainties. In particular, our expectations around the impact of the COVID-19 pandemic on our business, the Q4 holiday season, and results of operations are subject to change. Should any of these risks materialize, or should our assumptions prove to be incorrect, actual financial results could differ materially from our projections or those implied by these forward-looking statements. I encourage you to refer to the risk factors referenced in our press release and included in our most recent SEC filings. In addition to reporting our GAAP financial results, we present supplemental non-GAAP financial data. A reconciliation of the GAAP to non-GAAP measures can be found in our earnings press release. We believe that providing non-GAAP measures combined with our GAAP results provides a more meaningful representation of the company’s operational performance. I will now turn the call over to Founder and CEO, Jeff Green. Jeff?
Jeff Green: Hello everyone and thank you for joining us. We are excited to announce the results of our third quarter. Despite the headwinds of a global pandemic, we had healthy growth in the third quarter, up 32% year-over-year, far surpassing our own expectations.  As we discussed, 2020 is a year where agility matters more than ever. In this environment, marketers have come to more fully appreciate the power of data-driven advertising. And as that happens, we are becoming indispensable. We have developed closer relationships with the biggest brands and agencies in the world, and we are winning more business, with both new and existing customers. In addition, we continue to see rapid growth in key channels, such as connected TV, which grew more than 100% year-over-year. This was a very encouraging quarter, not only in terms of our revenue and market share growth, but also what it signals about our growth opportunity moving forward. While our growth is very encouraging, we are still operating at a time of great uncertainty for many industries, but even in the midst of that uncertainty, we are clear that our role is to help our customers drive economic recovery. Advertising is an engine of economic growth, and our customers know that their campaigns can fuel growth and drive market share gains for their brands. And because of that, during times of uncertainty, they become much more deliberate.  That's not to say this is a straight line recovery for our customers. It's not. Often our customers are still being hurt by the global pandemic and the economic consequences of most people staying home. But while we are a long way from being completely out of the woods, I do believe that in 2020, so far, we have gained more market share or said another way grabbed more land than at any point in our company's history. We've accomplished this because advertisers have become more deliberate, and we are a part of the solution that helps them manage uncertainty and chart a path to grow. Our rate of grabbing land in Q3 might be the biggest bullish indicator we produced as a publicly traded company. Market share gains in 2020 is a testament to the strength of our value proposition and our customer relationship. That's what makes me more proud of our performance in the third quarter than any other quarter in The Trade Desk's history. Our team navigated uncertainty and helped the most sophisticated advertisers fuel their recovery, with new approaches to channels such as CTV. I'll come back to CTV in a few minutes. Before I do that, I want to give color about the third quarter, because I think it will give insight as to why I'm so bullish on our future. Since April, we've been focused on understanding where we are on the economic recovery curve. Some industries, such as CPG, pharma and healthcare were on the leading edge of that curve, as we would expect. In fact, some companies in those industries never fully shutdown their digital advertising campaigns. Others are a little farther back, restaurants and retailers, for example. They needed to advertise that they were open and message what their new normal looked like in terms of pickup and delivery services. However, their businesses have not yet completely returned to normal. And then further down the curve, of course, you have other industries like, auto and airlines and hospitality that remain in various early stages of recovery. My bullishness isn't because I think the macro environment is back to normal. We all know that's not true. Our positivity about our future is driven by the share gains that are happening during this time of uncertainty and the numbers show it. We've spoken in the past about our 95%-plus retention rate, and we're seeing no deviation from that. In fact, I would assert that customers are relying on us more and more. I see that not only in our growth numbers and the trends underneath those numbers, but also in the conversations that I'm having with advertisers every day. So, today, I'd like to break this discussion down in three ways. First, how we have seen advertisers become more deliberate in 2020 and what that's meant for us. Second, how the tipping point in TV has proven a major factor to our growth in 2020. And three, how all of this adds up to a few things that I'm most excited about for our future, especially starting in 2021. Let's start with the first item. Advertisers have become more deliberate. Brands and agencies that advertise more effectively, who leveraged data to be more nimble and agile are gaining share. In 2020, almost every marketer and every large brand is being asked to do more with less. Every advertising dollar has to be accounted for. CFOs are more involved in marketing and advertising decisions than they've been in years. They become a lot more focused on what business value is created by advertising. And that means that advertisers have to focus on ad opportunities that are measurable and comparable, where the business ROI can be understood and proven. As companies reactivated their ad campaigns, they had an opportunity to let the world know that they are still there and open for business and in what capacity. But because the world changed so fast in March and April, advertisers quickly realized that effective advertising requires new levels of agility. Now national brand campaigns had to be complimented by highly local campaigns specific to the circumstances in a particular region or state. But there was a much greater focus on reaching specific audiences with specific messages. The need for agility impacted more than campaign planning and management teams. Creative teams had to suddenly develop content in days versus months to take account for the constantly changing environment.  Combine those two factors, the need for new kinds of agility and the need to prove ROI. And you can recognize how marketers today need to not only be much more deliberate, but also much more data-driven. To some extent, this is history repeating itself. There are parallels to the 2008 and 2009 recession when programmatic advertising first came on the radar for most marketers. Back then display and mobile advertising were the big winners. They won despite being weaker at winning hearts and minds than video, TV or audio. They won share because they were measurable and comparable, and marketers can prove effectiveness with credibility. Fast forward 12 years to the present and digital is leading the way recovery, instead of just supplementing it. While marketers were incentive to dip their toes in the waters of data and data-driven advertising 12 years ago, today they are all in across all advertising channels. And for the first time, advertisers are aggressively committing to the Open Internet because of the scale and results of connected TV and premium video. I maintain my prediction that eventually all premium video will eventually make up about half of the global advertising pie. Now that advertisers can apply data to their premium video campaigns where hearts and minds are truly one, the long-term opportunity for The Trade Desk could not be more promising. Let me put some additional data behind these assertions. We recently surveyed more than 200 top advertisers, around 85% of them said they are under new pressure from CFOs to justify marketing spend and to measure against business goals. 50% are now having their typical measurement techniques questioned. As a result, almost all of them intend to adopt data-driven measurement strategies. This shift to being more deliberate has been a major driver of our growth this year. But we also see a play out in terms of business performance for those companies that prioritize data-driven advertising. And we see that industry-by-industry in consumer packaged goods, for example, those companies that maintain spend on our platform through the uncertainty performed better from a revenue growth perspective than those that slowed or suspended spending. Over the past three months, one CPG company lifted their same-store sales for one of their brands by over 40% utilizing a combination of CTV, mobile and PC advertising. We've seen similar patterns show up across industries, whether it's pharma or fast food or retail or technology. So, those companies that are advertising effectively are gaining share.  And as I said, if you want one particularly potent microcosm of this and our industry, you have only to look at what's happening within TV. Which brings me to my second point, how it 2020 will go down in media history as a tipping point in TV. Our CTV spend grew more than 100% year-over-year in the third quarter, as advertisers follow consumers to streaming platforms. That consumer shift has created a tipping point. The number of U.S. households with traditional cable TV subscription is dropping to below 80 million this year. According to eMarketer, 77.6 million U.S. households will have cable TV packages this year, down about 7.5% year-over-year. That is a rapid acceleration from the 3% decline that they had been predicting at the beginning of the year. In addition, CNBC recently reported that at least three large U.S. media companies expect the number of U.S. households that subscribed to linear TV bundles will fall to about 50 million in the next five years. That is about 40% drop from here. At the same time, advertisers will be able to reach more than 80 million U.S. households via CTV on our platform this year. The crossover at household reach on our platform versus linear TV bundles is only going to wide, and that's because on-demand streaming content is more convenient to viewers and because many U.S. households remain under considerable economic pressure and are abandoning their expensive cable TV packages. That live sports remain in a state of flux only adds to the acceleration in cord cutting. All of this, of course, has massive implications for broadcasters and advertisers. Marc Pritchard, Chief Brand Officer at P&G, the world's largest advertiser, dropped a bombshell at the ANA conference a few weeks ago. He said that P&G would be moving away from the upfront model of TV ad buying. With TV advertising going digital, it makes no sense to make massive uninformed bets just because that's the way it's been done for decades. Now they can apply data to those decisions and be more deliberate. Relatedly, he also said that programmatic is their fastest growing advertising channel, which speaks to how P&G and other advertisers want to apply data and optimize campaigns across all channels. P&G is not alone, of course. Advertisers such as Unilever and MasterCard are calling for similar rethinks of archaic TV advertising processes. We are also seeing other brands move away from the upfront and look for more agile data-driven options. That's why we're working with our customers to create digital alternatives to processes such as the upfront, which can provide them with a more efficient data-driven and transparent forward market for TV inventory. While these shifts in the TV landscape may have taken a few years, in a normal business climate 2020 accelerated this disruption and innovation into a few months. This transformation of TV isn't the only reason I'm so confident about our growth opportunities in 2021 and beyond, which brings us to the third main topic I want to cover today. Why I am so bullish about our future? It is impossible to talk about the future of The Trade Desk or the future of the Open Internet without talking about connected TV. That's because the shift to CTV is helping reinforce advertiser conviction, that there is a compelling alternative to walled garden. Like last quarter, I have spent a disproportionate amount of my time over the past few months, meeting with agencies and brands. The first question invariably concerns helping them shift from user generated content intent to premium TV content, that's because they are increasingly wary of the divisive nature of UGC, as we discussed in our last quarters update. In fact, in that same survey of 200 advertisers, which I referenced earlier, 90% said they plan to shift ad dollars away from user generated content. Indeed, we have won tens of millions of dollars of spend from UGC platforms in the last quarter alone, and we expect these trends to continue. We're also winning business from linear TV and expect to continue to grab share from that $250 billion worldwide TV market. In the third quarter, one e-commerce giant saw an 11 times return on ad spend for CTV on our platform. As a result of that performance, they shifted 10% of their linear budget to CTV. We're seeing similar shifts across our customer base. But the other side of the CTV coin is the massive surge on the supply side. Broadcasters are all pivoting to CTV. If you listened to Lindy Yaccarino, Chairman of Advertising & Partnerships at NBCUniversal at our recent groundswell festival, you would have heard her talking about how the team TV model has changed permanently. She has working with advertisers in new ways to bridge the world of linear to the incremental reach of CTV, recognizing that they are no longer thinking about advertising in terms of particular content, but in terms of reaching a particular audience. By the way, we've heard the same refrain from all broadcasters, whether it's Disney or Hulu or Channel 4 in the U.K. or ProSieben in Germany and so on. As you know, over the last few years, we have invested heavily to be ready for this opportunity. Indeed, you've heard me say before that the last 10 years has been a dress rehearsal for this moment. Through our comprehensive CTV partnerships, we have access to pretty much all CTV inventory. And increasingly, these are partnerships that offer direct access to that inventory. This includes both broadcasters themselves, or partners such as Magnite or FreeWheel. Our customers are prioritizing these partnerships because they maximize yield management and provide transparent access to a wide range of broadcast or inventory. By contrast broadcast TV is a ticking time bomb, where the economics are unsustainable. The ad to content ratio creates a terrible viewer experience. The cost of cable for the consumer is high. So, not surprisingly the move to CTV is accelerating on the supplier side as well as on the consumer side. Another reason I'm so bullish for our future is product. In 2021, we will launch one of the biggest upgrades to our system in company history. The release is called Solomar [ph]. As some of you saw in 2018, we delivered a massive upgrade to our platform, which accelerated our market share gains. That one was called Next Wave. We are still relentlessly committed to innovating and staying on the leading edge of our industry. We never take leadership for granted, and we are always looking to improve our platform and deepen our relationships with our customers. Solomar will include a better user interface, one that brings all of our customers buying and planning tools together for greater ease-of-use. We're also making it easier than ever to onboard and deploy their first party data. We're improving data management, will continue to expand our identity products around the world, will make planning on our platform even better with a focus on ingesting and achieving customer specific goals and will release a meaningful integrated upgrade to Koa, the machine learning and AI engine that is always powering campaign, even if users are away from their keyboards. Finally, this launch will include a new measurement marketplace that provides advertisers with more transparent reporting. This represents an even more compelling measurement alternative to the walled gardens who continue to grade their own homework. Everything about this release points to the primacy of first party data and the ability to unlock the value of that data in an ad campaign, especially in connected TV. The third reason I'm so optimistic about our future is that we have deepened our relationships with brands. This is an addition to our core agency relationships. Brands understand they need to maximize the value of their first party data and scale its deployment across their marketing function. And increasingly, brands understand the power of data-driven advertising to drive growth. Programmatic is no longer simply a line item on the media plan. It's a central part of the planning process. In most cases, brands will continue to work hand in hand with their agencies, but the amount of brand resources applied to this is growing every quarter. Fourth, I'm very confident about our international growth. Early on in the pandemic, many of our international markets slowed down first. But since we started seeing the green shoots of recovery, many of them have returned to very healthy year-on-year growth, including Tokyo and Paris, which have grown spend over a 100% year-over-year. The same dynamics that are happening here in the U.S. are happening around the world. Innovation and disruption have been accelerated. And in many cases with their advertising ecosystems much more concentrated than in the United States, these markets have the opportunity to leap ahead quickly in areas such as CTV. Lastly, I'm extremely confident in CTV's future because of the industry wide movement that is galvanizing around the Open Internet. Even that phrase, the Open Internet was something that only a few of us were using with any confidence a few years ago, but it's now a movement that has gained considerable momentum. The most important manifestation of this is the collaboration that is now happening outside of the walled gardens. The likes of which we have never seen before. Brands are looking for alternatives to walled gardens and alternatives to user generated content and alternatives to broadcast TV and alternatives that are all data-driven. And, of course, alternatives that can be measured objectively. All of which point to the value of the Open Internet and all of which also mean that once again, the secular tailwinds are getting stronger for The Trade Desk. So, let me try to wrap this up by discussing some of the pressing items facing The Trade Desk and the Open Internet right now. I want to touch on the recent antitrust actions against Google. As many of you have asked about this, particularly in terms of what it might mean for us and the future of cookies. It is very difficult to predict what ultimately will transpire or what remedies might be, if any. All we do know is that it will likely take years. And that it will almost certainly create some level of distraction and change for Google. Ultimately, it doesn't change anything about our strategy. We are focused on offering a compelling alternative to walled garden. One that enables a free and better Open Internet for all participants, for advertisers, data providers, content providers, and consumers. We're trying to distribute power among the competitive media market, not control the market. And as we have seen this year, there is growing demand for such an alternative to walled gardens that can execute at scale across every channel worldwide. The market will not allow Google to be the only company to offer effective ad targeting. There is too much collaboration and understanding of what's at stake for that to happen. As a key element in creating that compelling alternative, we have architected a new identity framework for the entire Open Internet, called Unified ID 2.0. It raises all books [ph], simply put and creates a better and open competitive internet, one that also improves privacy controls for consumers. We have done this with the help and collaboration players across the Open Internet, including governing and regulating bodies, such as the IIB. Large publishers are implementing this solution now. Some of the biggest names on the internet are asking to be involved. The leaders of ad tech companies are working together to make this a success. This is much bigger than The Trade Desk. This is an industry-wide collaboration on a level that we have never seen before in our industry. Because of that, regardless of what Google ends up doing with cookies, we believe that the industry will have a better upgraded alternative for identity, that more effectively explains the value exchange of the internet and provides users with greater control and privacy. I firmly believe that Unified ID 2.0 will reach critical mass and adoption next year. And in doing so as an industry, we will have created a viable scale alternative to third-party cookies, one that is also browser and device agnostic. It's an upgrade across the board. The footprint of IDs that we're already working with is massive. In the last few days, you've heard that LiveRamp and Criteo will make their identity solutions interoperable with this. You've heard that Nielsen will be working with us to deploy Unified ID 2.0 for cross-channel measurement. And in the coming weeks, you'll start to hear from more advertisers and more publishers who are now part of this industry collaboration. If I could have fictionalized how this would go and the response from the market, I couldn't have written a more compelling story than what's actually happening. On a related note, I know some of you will have questions about Apple's recent moves regarding IDFA. We anticipate most users will ultimately opt in to IDFA in order to continue to enjoy personalization of apps across their devices. That includes things like Spotify, Dropbox, LinkedIn, Netflix, Facebook, or thousands of other apps. The last topic I would like to touch on is our most recent proxy filings. Our Board has proposed several amendments, which if approved would ultimately mean that our dual class stock structure will sunset or terminate in five years. I don't want to go over the proposal specifically here today. There'll be time to do that in another forum, but I would like to provide a little context as to why the Board has made this recommendation. Many of you have been with us for our entire four years as a public company. And in that time, we've significantly increased our market valuation by thousands of percentage points. In light of that growth, sometimes it's hard to remember, but if you catch your mind back four years, you'll recall that there was a lot of skepticism around our industry and around our prospects, ad tech as an industry was lowered on Wall Street. Over the last four years, we've delivered significant shareholder return, but we've brought a new level of appreciation and respect for our industry and our role in pioneering the future of media as well. It didn't happen overnight. We climbed out of that ad tech penalty box by making promises and setting expectations, and then meeting them consistently quarter after quarter, because we knew we needed to build your trust. And that trust helped us provide you with a consistent view of our long-term strategy. The trust between The Trade Desk and its shareholders is extremely important, because when you think about areas such as connected TV identity, upgrading our platform, international growth, these are not short-term or ad hoc decisions. These are decisions born of a long-term strategic plan. The next five years will be critical in our history, as advertisers increasingly consider the value of the Open Internet and embrace an alternative to the walled gardens. The next five years will go a long way in determining the winners and losers. Our Board has determined that these changes will enable the company to continue to have that long-term strategic focus. Maintaining that focus, maximizes our chances of continuing to deliver exceptional shareholder value. I just wanted to provide that brief context. As I know that many of you would appreciate that perspective, having been with us for the long haul. Now let me wrap up by coming back to where I started. We are highly encouraged by our strong performance in the third quarter. I have never been more proud of our team's performance than in this quarter. The team has done so much to set up our future and the future of the Open Internet. Because of that performance year-to-date, we're even more bullish about our ability to gain market share moving forward. Advertisers are becoming more deliberate with every ad dollar they spend and shifts in key channels, such as TV are only accelerating that trend. This makes our platform indispensable for our customers and partners. As Lindy Yaccarino said at our recent groundswell festival when asked about why she spent so much time with The Trade Desk, she said, and I quote, it's because they are leading me to the future. With that, let me hand it over to Blake to cover the financials.
Blake Grayson: Thank you and good afternoon, everyone. We continue to operate in an uncertain and challenging environment. However, as Jeff mentioned, we are seeing advertisers accelerate their shift to data-driven advertising in 2020. I'm really encouraged not only by this shift, but also by our company's execution during this period of uncertainty by working closely with our customers and our results demonstrate our solid operational performance. For Q3, revenue was $216 million, representing an increase of 32% year-over-year. This represented a 45 percentage point acceleration from Q2. We benefited from several trends that helped us significantly exceed our expectations. One, existing advertisers shifted more spend to our platform during the quarter. This included CTV, which offers the ability for advertisers to apply data to their TV ad campaigns in ways that are simply not possible with linear. Two, we want a significant amount of new business from our competition, enabling us to gain share. And three, political spends steadily ramped up throughout the quarter and was particularly strong in the month of September. With the strong top line performance in Q3, we've generated $77 million in adjusted EBITDA, or about 36% of revenue. As you have seen historically, when we outperform on the top line, we often see that outperformance dropped down to EBITDA, which it did in Q3. EBITDA also benefited temporarily lower than expected operating expense growth. From the channel perspective, in Q3, we continue to see improvements across all of our channels. For the quarter, spend in our mobile video, which includes connected TV, display, and audio channels all grew on a year-over-year basis. Connected TV spend was the strongest, run over 100% in Q3 on a year-over-year basis. Geographically in Q3, similar to last quarter, North America represented 88% of spend and international represented 12% of spend. All of our major regions North America, APAC and Europe grew spend well into the double-digits year-over-year in Q3. In terms of our verticals that represented at least 1% of our spend, nearly every category improved during the quarter, with many exhibiting strong resilience in the face of the economic uncertainty that Jeff discussed. In particular, health and fitness, our largest vertical in 2019, as well as technology and computing, food and drink, and home and garden, all performed well.  Automotive showed consistent improvement as well during the quarter, ending with double-digit growth in Q3. Travel still remain negative on a year-over-year basis, but even that category showed relative improvement during the quarter and is improved on a year-over-year basis versus Q2 performance. Shopping also showed a noticeable turnaround in Q3, ending with growth well into the double-digits. And finally, as you can imagine, we have seen strong political spend in the month of September and also into October. However, it is fair to assume that we will still end 2020 as we had previously indicated, with political spend representing a mid single digit share as a percent of our spend. Operating expenses were $173 million in Q3, up 22% year-over-year. Although, faster than we invested in Q2, our operating expense growth was a bit lower than expected due to a number of factors. First, our employee support costs, including travel and corporate events, ran lower and or down materially from the prior year due to the virtual environment. Second, our bad debt expense for the quarter was lower than we had originally assumed, partially due to strong receivables health. The aging of our receivables actually improved slightly year-over-year despite the volatile economic environment, which we're obviously pleased with. Third, while we continue to produce positive net hiring every month and grew headcount in double-digits year-over-year in Q3, we did not ramp our hiring as quickly as we had hoped, also partially due to the virtual environment. Income tax expense was $1.3 million in the quarter, mainly due to the increase in profitability in the quarter, which was partially offset by employee stock-based awards. The timing of which can be variable. Adjusted net income for the quarter was $62.7 million or $1.27 per fully diluted share. Net cash provided by operating activities was $88.5 million for Q3 and free cash flow was $66.5 million. The primary driver was the increase in net income and the change in working capital that can vary from quarter-to-quarter, depending on the timing of payments and receivables. DSOs exit in the quarter were 101 days, up five days from a year ago. DPOs were 82 days, also up five days from a year ago. We exited Q3 with a strong cash and liquidity position. Our balance sheet had $557 million in cash, cash equivalents and short-term investments at the end of the quarter. In Q3, we paid down $70 million debt or about half of our revolving line of credit that we drew down against in the very early days of COVID-19 out of an abundance of caution. Since the end of Q3, we have paid down the remaining $72 million of our outstanding line. And as of today, we have no revolver debt on the balance sheet. I'm going to use the remainder of the time today to discuss Q4. Please be aware, our business continues to be impacted by the COVID-19 pandemic that has significantly impacted advertiser demand. Q4 has historically been our strongest quarter, driven by holiday ad spend. However, we continue to face a period of higher uncertainty in our business outlook. Assuming that the economy continues to improve, and we do not have any major COVID related setbacks that impact historically strong holiday ad spend, we estimate Q4 revenue to be between $287 million and $291 million, which would represent growth of between 33% to 35% on a year-over-year basis, a modest acceleration from our Q3 results. Under this assumption, we estimate adjusted EBITDA to be at least $115 million in Q4. I would remind you that the relative strengthened our EBITDA forecast is in part due to the virtual environment our teams are working in. While there is continued uncertainty about the economic environment, we are pleased with our momentum, and we remain highly optimistic about the long-term growth prospects for our business. We believe we have the structure in place to accelerate growth and scale our business efficiently, as economic conditions improve and are cautiously optimistic about continued measured improvement through Q4 and into 2021. That concludes our prepared remarks. Operator, let's open it up for questions.
Operator: Thank you. [Operator Instructions] And we will take our first question from Michael Levine with Pivotal Trade Group. Please go ahead. 
Michael Levine: Thanks for the question guys, and terrific results. So, just to dig in a little bit deeper, Jeff, on your comments around CTV, which were super helpful. Two parts. I mean, one, I'm curious if the weakness in linear sports TV ratings actually led to some acceleration. And I guess to secondarily, as your thinking about 2021, anything you guys could basically do to frame how investors should basically think about CTV growth?
Jeff Green: Yeah. Great. First of all, thanks for the question. Of course, there's no place in our business that we're more excited about than in CTV. And I think, it's difficult to argue that we didn't benefit from the struggle that live sports has had in 2020. In 2019, we just had this amazing sort of arm and arm tour with ESPN and just talking about the benefits of live sports. But while time consumption has gone up across the board on connected TV, consumption on both linear, as well as live sports has gone down dramatically, live sports suffering the most. When we asked in a survey, what was the number one reason that people hung on to cable? 60% of consumers said the reason for hanging onto it was live sports. And we think that that's the reason why when we asked them about cord cutting that they're doing that between two and a half and four times the rate that they've been doing that in the past. And that's in part because of just live sports being less compelling when there's not a crowd and it's not the same in this environment. So, we've definitely benefited from that. Will you remind me of the second part of your question?
Michael Levine: Just some initial thoughts -- just how investors could think about the opportunity for CTV in 2021.
Jeff Green: Yeah. Absolutely. So, the first is just to touch on a little bit the upfront. So, this year, the upfront, which is a way that a lot of advertising spend in TV gets allocated was, especially weak, because just a lot of the decisions and meetings take place last week in March and first week in April, that was the moment that perhaps with the most amount of uncertainty in the global economy and certainly in the media landscape. I think most people -- part of the reason why I quoted Marc Pritchard on that really bold statement that he made that they plan to skip out on upfronts going forward, is in part because of the amount of uncertainty that the media landscape faces continuing going into 2021. What I think all of that means is the way to make television work and scale is going to be to move more to connected TV. I think it means that there's going to be more sold in what is effectively a spot market instead of on upfronts and all of that bodes well for us. That said, I think it's also important to note that we're investing in product to help digital participate in a new version of a forward market. And we're working with multiple players in the premium content space to define that. So, incredibly optimistic about our prospects in 2021 because of the secular tailwinds we have in TV for a variety of reasons, including the macro environment. 
Michael Levine: Terrific. Thanks again, Jeff.
Jeff Green: Thank you.
Operator: Our next question from Shyam Patil from Susquehanna. Please go ahead.
Shyam Patil: Hey, guys. Congrats on the impressive results. I have a couple of questions. First one, Jeff, you talk a little bit more about how you're thinking about Apple's upcoming IDFA change and how you guys plan to manage that change? And then Blake, I know you're not providing 2021 outlook yet. But are you able to talk a little bit about how you're thinking about areas of investment as well as how margins could trend next year? Thank you. 
Jeff Green: Awesome. I'll take the first one and then Blake, if you want to take the lead on the second one, that'd be great. So, first, I'd like to answer the Apple IDFA question in two ways. First, let me just talk about from our company perspective, and then I just want to talk about it on behalf of the Open Internet and bigger perspective. So, about 10% of our spend uses IDFA, and because we've had limited targeting on that 10% for quite a long time continuing to limit it or limited in a new way, doesn't have a material impact to our business. Because we're looking at roughly 12 million ads every single second, when you take a million-ish of those and say, we're going to allow less data to be used on those. We just look more carefully for gems and the other 11 million. So, I don't expect it to have a material impact on our business the way that it will others. So, when you hear Facebook talk about having a big impact, just remember they're 70%-ish mobile, not 10% IDFA so, very different impact to us. That said, I do believe this is Apple trying to mess with Facebook's business and Google's business. They're much more committed, I think, to payment than they are to the advertising ecosystem. But one thing I just think has not been talked about enough is that when you limit the ability to use IDFA by all apps, not just for advertising, but for personalization, like in Netflix or Dropbox or so many others, what that is going to lead to is a massively deprecated consumer experience where consumers are then going to be asked the question, if you would like to upgrade your experience, you have to go to settings and change the following. I believe that that is inevitable, that because there's so much advantage to that personalization and there's so many companies that are committed to doing that in a fair, equitable, responsible way, including us. I believe we've already been through this with location on Apple, and it ended up people giving consent in the places that mattered so that they could have a better experience. I think long-term, we end up with people opting into IDFA and this not being a big setback for the industry of personalization. I don't expect that to happen. But I'll just go back to -- as it relates to us, it's a small portion of our business, given our focus on connected TV and being a gateway to all channels, not just one. Blake?
Blake Grayson: Sure. Thanks, Jeff. And I'll try to address this. And then Jeff, if you want to add anything, feel free at the end. With respect to the second question on thoughts around investment and margins, maybe some contexts that I can provide them may help. Just in general, we're very excited about the investment opportunities we have in front of us, whether that's in connected TV, international identity solutions or product development, such as Solomar that Jeff referenced, our focus is to drive investment in areas that drive platform spend growth. As we as we move into 2021, there's still lots of uncertainty around COVID and the macro economy. You saw the bit in Q3 areas like support costs, travel, events, and hiring, they're generally below pre-COVID levels. We're competent that when we do return to normal, whenever that is sometime in 2021, late 2021, 2022, your guess is as good as mine on that. Our margin structure should be as good as it was pre-COVID. And over the long run, as we continue to add scale potentially slightly better. But where I'd end that statement with is that please remember that we do not manage to an EBITDA target. We have areas that we are really excited about investing in and driving growth and we're always looking for those opportunities. So, if we can invest more that will drive future growth with the right long-term ROI, I will really advocate for it. And so just -- we always have to have that balanced perspective.
Jeff Green: I'll just add for 30 seconds. I was on the phone with some of our team in China this morning, just talking about how they are leading the world in global growth for us, they're back to the offices and sort of business as usual and having a phenomenal year for us. I definitely want to make investment there. I want to make investments in the forward market and CTV that we talked about. We talked about the momentum behind Unified ID, definitely a place that we can do more. We're planning the biggest release in our company's history next year in Solomar. There's just a lot of places for us to continue to grow. And we're still just in the very early innings of what is shaping out to be a huge game. So, just really excited, looking for places to make more investments.
Chris Toth: Next question, Chloe. 
Operator: We will take our next question from Vasily Karasyov from Cannonball. Please go ahead.
Vasily Karasyov: Thank you. Good afternoon. Jeff, wanted to ask you to talk about the decision to deemphasize Amazon publishing services and favor working directly with the apps. I think you announced that several weeks ago. What was the aeration now to do this a little over a year after the PMP was set up? And does that change your approach to other streaming platforms such as Roku? So would appreciate your thoughts on this.
Jeff Green: You bet. So, first, the 2020 is the year where media does three years of worth of change in one year. So, while I had initially thought that this would last longer, I was extremely confident in it being important to our success in the short and medium term, but had less certainty about the long-term. Because of that, the partnership was an amazing success. We proved monetization on Amazon. We continue to monetize on Amazon. It's just not through Amazon published -- publishing services which it's my read that that's not the highest priority inside of Amazon. But instead getting access to the content that runs over Fire and Roku and every other device by creating closer relationships directly with the content owners. There is the same in TV, that content is king, and we continue to get closer to that content where they're more and more committed to doing yield management, either through a very close partner, like a FreeWheel or a Magnite, or doing it in some cases on their own. And we're okay, no matter what. We're sort of agnostic to how they want to do yield management as long as we plug in with them. But APS itself was less than 1.5% of all CTV ad impressions. So, meaning not necessarily Amazon, but those that came through Amazon publishing services. And so getting that more directly, it's actually better for us, better for our advertisers and deepens the relationship with the content owners. So by that measure, this was a smashing success.
Chris Toth: Next question, Chloe.
Operator: We'll take our next question from Justin Patterson with KeyBanc. Please go ahead. 
Justin Patterson: Great. Thank you. Hi, Jeff and Blake. Hope you're well. Congratulations on all the progress with the Unified ID 2.0 and getting closer to critical mass. My question is this, even with that degree of adoption there's some checks out there suggesting it's still going to be a lag time before ROI matches what previously existed under the third-party cookies. I'd love to hear your thoughts on whether an air pocket might exist? And how long you think it could take for us to start seeing the benefits of Unified ID play out both for your business and the Open Internet?
Jeff Green: You bet. So, first of all, thanks for the question. It's a somewhat complicated question in large part, because third-party cookies still exist, right? And they will for the next 18 months or so. So, everything that we do in the time between now and the time when they go away inside of Chrome, the Unified ID -- the Unified ID 2.0 is a supplement to the rest of it. Now that said, I believe we'll replace it before they go away. So, I believe that it will be the primary way that people are targeting on the Open Internet before third-party cookies go away. But as people are thinking about, what's the adoption looked like. Just think about the fact that, that LiveRamp and Criteo, and Nielsen have a pretty amazing footprint. And when they talk about interoperability and adoption, it's effectively pooling the footprint that we have of LiveRamp, Criteo, Nielsen and The Trade Desk to start, that's just the start. If I were to give you the list of all the people in media that are engaged with us and with all of us that are working on it, are all the people on the supply side that are working on this, it's actually overwhelming to just keep up with the amount of success. I have never seen anything like this in the history of the internet in terms of adoption. And I think it's just because we got the product right as an industry where we said, okay, we want an upgrade to cookies where it's encrypted. It has a terms of service so that it actually operates better. We get rid of the cookie mapping issues. It's a simple framework for publishers that can better explain the quid pro quo the internet. We're giving consumers better controls. There's this SSO that comes with it, so that people can consent one time per app and website validate their email address one time and then have effectively a pass to go all over the internet, so, with open path. So, I highlight those four components to this to just say, it's an upgrade across the board on all of those things. And especially when you take the momentum that's already there, there's not a good reason for any company not to sign up as that it benefits from this common currency, which has every advertiser, every publisher, even the consumer benefits from that. So, I think we figured out the way to make it a win-win across the board. And that's why the momentum is overwhelming. 
Justin Patterson: Thank you.
Operator: We'll take our next question from Tim Nolan with Macquarie. Please go ahead.
Tim Nolan: Great. Thanks very much. Jeff, I have a question also about Unified ID. I hope it's a simple one. Could you help us understand a bit more what your partners are doing in this effort? You've mentioned now, and we've seen the releases in the last couple of weeks with LiveRamp and Criteo and Nielsen. Maybe, is it about them helping create and build the ID itself, or is it them agreeing to make their systems work with it? Just to understand a bit more what they are actually doing with you on that. And relatedly, I think, especially when it comes to Nielsen, you're talking about measurement a bit more I think on this call than you have in previous calls, what role does Unified ID 2.0, play in actually measuring media, especially CTV? Thanks.
Jeff Green: Yeah. So, it's -- this is a complicated question. So in the third-party cookie universe, there is all this sinking that has to happen. So, if one company -- let's just say, Google has a cookie that says, and they identify a user as user ABC, and then Facebook has a cookie and they identify that user as one, two, three, in order for them to have a common understanding of the user, they have to pin each other. And so, when you see on the bottom of your browser, all the pixels loading constantly, it's all these companies thinking with each other so that they have a common understanding of the user and create a currency around the internet. What Unified ID 2.0 does, is it replaces that where there's constantly pings happening and sinking, so that there's a common understanding of the user and replaces it with a standard that we all have. And this effectively creates a currency for the internet. It doesn't mean that we aggregate all the data. In fact, it's liberally designed to avoid that. There is this ID where there's no data per se, attached to it. And then the individual companies themselves that have in proper ways gained insight or data, then can use that in their own four walls without having to send the data to all different places. Because everybody has an interest in creating this understanding so we can stop sinking and have a better system. We basically took a recipe from the IAB -- for the IAB has said, this is what the best solution should look like. And we just went one click down on fleshing that out. And then we sent it out to partners like Criteo and like -- which incidentally is a competitor in a lot of levels, but we felt like it was very important to start there so that we were signifying to the industry that this was a collaboration, even though we compete then we did the exact same thing with LiveRamp to just make certain that it was interoperable.  So, you asked whether it was about interoperability or about collaboration, it is about both. But we took something to them that was mostly baked and said, what do we need to modify to get you to adopt it and make it interoperable with your solutions? And that's where we are with all of them. You mentioned measurement. You're absolutely right. One of the things that I think Facebook and Google have done really well and becoming as big as they are in advertising is that they have done a good job of taking credit for what happens in all of advertising, because they touch so many conversions. When they sell something, they're effectively providing analytics to say, yes, we touched it. You sold that product because of us. The Open Internet needs to do a better job of showing the role that it plays, especially given that I believe most hearts and minds are one in things like CTV and audio. So, we need to integrate with the best measurement solutions in the world. You're going to hear a lot more from us about measurement over the next year and about partnerships that we're initiating to make that better. But there's no place better to start than with Nielsen, who's effectively been the gold standard of TV measurement for decades.
Chris Toth: Next question, Chloe.
Operator: We will take our next question from Youssef Squali from Truist Securities. Please go ahead.
Youssef Squali: Great. Thank you very much and congrats on that really impressive quarter. Jeff, I was just wondering -- so two questions for you. One, how are the potential changes in the political environment could impact -- how are they potentially impacting your ecosystem, especially around what's happening with the walled gardens, with the change in the guards, have a material impact one way or another. And then on a topic that you mentioned briefly earlier, which is China. This was a topic that you stack a lot, a lot more about. It seems like China is now on the other side of this COVID, they've opened up. Their growth has been very, very impressive. How are you looking at that business from a contribution standpoint? I think 2021 was going to be a year where China was going to be starting to basically move the needle. I'm sorry, 2020 was a year where China was going to start moving the needle for you. Well, 2021 will now be that year? Thank you. 
Jeff Green: Great. So, first as it relates to the political environment, and correct me if I'm wrong, but I assume you just mean that amount of scrutiny that -- as I call it big tack is under right now, as that continues.
Youssef Squali: Right. Right. Potentially worsens, how does that play in your favor potentially or not?
Jeff Green: So, I don't think that it will affect us all of that much. But it -- whatever effect that has is likely to be positive. And here's why -- as I mentioned in the prepared remarks, I think adding pressure to Google and especially having lived through sort of the other side of antitrust with -- when I was at Microsoft, more than 10 years ago, the level of scrutiny that I think big tech is under is likely to make the Googles of the world slowdown, be a little more careful dot the I's and cross T's to make certain that they're not violating antitrust. It could likely mean that they make changes to pricing tactics and it could mean that they are less aggressive in going after targeting, even if it is in the name of privacy. So that only they would be the ones to target on the other side of that, if the collective Open Internet didn't work together. So, because of that pressure, I anticipate that we'll see some small benefit. But here's I think the most important thing that I can say on this topic. We were fine with the landscape the way it was. We built a business from the very beginning, that was built on objectivity and we wanted to focus on the demand side so that people knew what we were. And we were to some extent 10 years ago or rebuttal to Google's business model to be involved in every part of the ad tech stack. And instead, we just said, we were going to focus on the buy side, because with that came a level of transparency and objectivity that we knew someone in Google's position could never provide. So, if they have to slowdown, great. If they don't, that's fine. We're going to keep talking about the exact same principles that got us here, and we believe we're more likely to win now than we were 11 years ago and happy to keep going.
Chris Toth: Thank you, Jeff. Next question, Chloe.
Operator: We will take our next question from Mark with Rosenblatt Securities. Please go ahead.
Mark Zgutowicz: Thank you. Hi, Jeff. I appreciate all the color on UID. A lot of excitement and anxiousness, I would say in the industry, as we talked to lots of the companies involved. I'm just curious, if we think about perhaps milestones over the next 12 months, that will indicate that we are trending in the right direction here to fully replace the scale that Chrome cookies offers. Can you maybe talk about a few milestones that we should look for? And then what do you anticipate to be the primary asks of all the parties that are involved here and whether or not the bigger asks will come from the bigger publishers, if I'm thinking about that correctly? Thanks.
Jeff Green: Yeah. So, the milestones are mostly measured in interoperability. So, as a publisher or an advertiser says, we want to leverage this to create interoperability between our ID and somebody else's ID. And there are lots of ID initiatives out there. Nearly every agency has one that they're pursuing. Many of them have been pursuing them for multiple years. Those are all different. Most of those are similar to LiveRamp where they're about data onboarding and making it possible for people to use the data that otherwise has not been. That's different than creating a currency, which is all about interoperability. So, every time you see a press release or you see somebody publicly saying we are making our ID interoperable, you're just sort of joining the circles of what otherwise would have been a Venn diagram in the cookie world to just make a bigger circle. And so the thing to be looking for is interoperability. Did I answer the second part of his question?
Chris Toth: Yeah. Did we catch that Mark? Okay. We will answer. You said that he had a second part of his question regarding China. And so, Jeff will take that question right now.
Jeff Green: Great. So, you're absolutely right that we've had high hopes in China for a very long time. We've also been making investments for a few years now. Rather than just quantify when it's going to move the needle, especially as that becomes a bigger target as we continue to grow our business around the world, I'll just reiterate China is leading the world right now for us in terms of growth rate. The green shoots are really remarkable in 2020. I don't know that I would've pointed to the green shoots in years before this year. But they're really remarkable. We continue to just build out the team and build out the products that we need. Our vision is to do for the Chinese speaking world, what we've done for the English speaking world. If you look at like the places where we've had the most amount of growth the countries that we've talked most about in connected TV, it's been in the English speaking world, whether that's in Australia or in London, or in -- of course, the United States. It doesn't mean that we haven't had great success in places like Germany and other places as well, but it's been predominantly English. We think there's something very similar to be done in the Chinese speaking world, which goes beyond just greater China. And we're seeing those green shoots in 2020. So, it's one of the places that I'm interested in making investments in and spending more time in and really eager for the world to get back to some sort of normal. So, I can go back and spend more time in a place I fell in love with it.
Chris Toth: And Chloe will take -- we have time for one more question, and then we'll close it out.
Operator: We will take our next question from John Egbert with Stifel. Please go ahead. 
John Egbert: Great. Thanks for taking my question. Jeff, it seems like in addition to being a far more efficient channel for large brands than linear TV advertising, CTV seems really tailor made for premium video ads from SMBs and mid-market retailers that never really bought TV ads at a national level, would be the factors like budget limitations, or narrower geographic focus. And these companies are arguably among the largest drivers of digital ad demand today and driving most of the growth for the walled gardens right now. So, I guess, two questions. First, are you working with many companies in these categories through our agency relationships today? And I guess, looking maybe a few years out is your penetration within large advertiser and agency budgets continues to grow, would you consider developing products that better cater to the segment? And I guess, if so, what are some of the challenges to consider there?
Jeff Green: Yeah. So, I could not agree more with the premise of the question, which is that SMBs and mid-market advertisers have been driver of digital, especially for companies like Google and Facebook. We, of course, have done much better among the premium brands and deliberately started there and that continues to be the core of the market that we service. But we fully acknowledge. When we talk about a trillion dollar TAM and we talk about being focused on the demand side so that we can appeal to everybody, that objectivity and that TAM has to include advertisers of smaller sizes. The way that we service those today is largely through agencies and other tech providers that are very focused on servicing those advertisers today. There might be a time down the road that we do some of that ourselves without trying to disintermediate any of them would be the hope. But there's a lot to consider there. You asked what are the considerations? You have to have a relationship that is almost like a B2C relationship in order to service those which, I think it's just really important for us to think about as we continue to expand. So, those things are not lost on us. We're spending a lot of time trying to learn more about that market, but we continue to be focused on that trillion dollar TAM and no, we can't ignore it. 
Chris Toth: All right. Last question, Chloe.
Operator: We will take our next question from Brian Schwartz with Oppenheimer. Please go ahead. 
Brian Schwartz: Yeah. Thanks for taking my question this afternoon. I've got a question for Blake on the EBITDA margin trajectory. If I look at the second half of this year, you're going to put up about 400 bips of improvement year-over-year and that probably is somewhat on sustainable. I wanted to ask you whether your comments about the lower OpEx growth that you expected in the current quarter and the uptick in investments was intended to perhaps suggest some restraint when we're thinking about that EBITDA margin trajectory. Again, I'm not asking firm margin guidance for next year. I know that will probably come later. But just directionally, how has the experience with COVID and the cost structure? How has that changed if at all your view of the EBITDA margin for trajectory coming out of the pandemic? Thanks.
Blake Grayson: Sure. Thanks. And I'll try to provide a little more perspective. I think, obviously, in Q3, we've seen the impact. What I refer to as the virtual environment, lower support costs in travel, corporate events, things like that. I mean, it's not just lower than quarter-over-quarter, but it's down significantly year-on-year. I think that -- and then you can obviously look at our EBITDA guidance for the fourth quarter and infer in there some sense of continuation of that in those numbers themselves. I think the thing, as far as like thinking about it into the future it goes, one of the reasons why we're able to run with a lower cost base today is that we're in this virtual environment -- our customers are in this virtual environment along with us. We are here to serve our customers and meet with them and help them in any way we can. And so if and when behavior changes on a macro basis, we'll adapt accordingly. But I don't expect that personally. Now the question is the timing of when is everybody's got their own guests and none of us are going to be right about that, the timing of it. But I think it's one of those things. I think where we begin to see benefits on margins and I talked about this a little bit earlier in my answer, I think before is just with scale. As we just got larger and larger, we can gain scale. We should be able to gain efficiencies. But as far as like near term components, that's about the way that I'm thinking. I hope that helps.
Operator: It does appear we have no further questions at this time. I would now like to turn it back to Chris Toth for any closing remarks.
Chris Toth: Thank you, Chloe. Thank you everyone for joining. I know we ran a few minutes out over the top of the hour, but really good questions, and thanks everyone for joining. We look forward to speaking to you over the remainder of the quarter. Good night, everyone.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.